Operator: Good day, ladies and gentlemen, and welcome to the Motorcar Parts of America Fiscal 2015 Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct the question-and-answer session and instructions will be given at that time. (Operator Instructions) As a reminder, this conference call may be recorded. At this time, I would now like hand the conference over to Gary Maier. Sir you may begin.
Gary Maier: Thank you, Spike. Thank you everyone, for joining us and welcome to Motorcar Parts of America’s first quarter year end conference call. Before we begin and I turn the call over to Selwyn Joffe, Chairman, President and Chief Executive Officer and David Lee, the Company's Chief Financial Officer. Let me remind everyone of the Safe Harbor statements included in today's press release. The Private Securities Litigation Reform Act of 1995 provides a Safe Harbor for certain forward-looking statements, including statements made during the course of today's conference call. Such forward-looking statements are based on the Company's current expectations and beliefs concerning future developments and their potential effects on the company. There can be no assurance that future developments affecting the Company will be those anticipated by Company. Actual results may differ from those projected in the forward-looking statements. These forward-looking statements involve significant risks and uncertainties, some of which are beyond the control of the Company and are subject to change based upon various factors. The Company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. For a more detailed discussion of some of the ongoing risks and uncertainties of the Company's business, I refer you to the Company’s various filings with the Securities and Exchange Commission. I’d now like to begin the call and I’d like to turn it over to Selwyn.
Selwyn Joffe: Thanks Gary, I appreciate you joining us today, fiscal 2015 is off to an excellent start, adjusted net income for the quarter increased 45.6% to $4.7 million from $3.2 million a year ago, as shown in the tables of our press release and net sales climbed 25.3% to $63 million up from $50.2 million last year reflecting growth in all product categories. Current economic conditions along with the aging of our car fleets continue to provide strong demand for products in addition we also benefit during the quarter from our growing wheel hub product line business. As I highlighted on previous calls, data from Polk’s shows, the average age of vehicles is 11.4 years. In addition, as the number of cars in the 12 plus year old category continue to grow the replacement rates for these vehicles increase significantly. Current expectations are that the average age of light vehicles will continue to increase and this should be a long term trend, this bodes well for us. Today, we announced that we have entered into the brake master cylinder business. We have begun shipping this product line in late July. Industry sources estimate that markets are for master cylinders to be approximately 500 million at the consumer level and we expect this business to expand nicely. The brake master cylinder is an essential component in virtually in vehicle braking systems. It provides a dry hydraulic pressure to operate the calipers and wheel cylinders which control the braking power of the vehicle. This complements to the line of products that we offer in that it is a critical component and one that is prone to wear. It is estimated that 1.1% of vehicles have their master cylinders replaced on an annual basis and for vehicles that are 12 plus years old the failure rate almost doubles to approximately 2%. As the car population ages, the category should continue to grow. We expect this new line to be profitable immediately adjusted for the one-time inventory list. We expect EBITDA contribution percentages to be similar to rotating electrical as we are able to leverage our existing infrastructure cost. We are committed to making service and quality levels exceed expectations and believe that this will allow us to successfully grow our business in this and other categories. I complement the work of all our team members who are successfully executing our business in these exciting and very competitive times. In addition, our new product team continues to be actively at work looking for the next new parts for us to introduce and I believe they are on their way with some very exciting news. For those of you new to our story, let me just mention that the size of the aftermarket parts business is estimated to be more than $122 billion at the manufacturing price level with the rotating electrical segment estimated at $1.4 billion and the wheel hub and bearing business estimated to be $1.2 billion. I mentioned earlier that master cylinders are approximately $500 million. We supply more than 20,000 stores and our customers continue to gain share in both DIY and the professional install markets. We continue to see numerous opportunities to leverage our award-winning customer service and product quality to enhance market share for all of our products including rotating electrical, wheel hubs, and now brake master cylinders. In short, the outlook for the Company’s growth prospects continues to be very positive. Firstly, our rotating electrical business is strong. We are experiencing strong organic growth from our existing customers. More recently, we have gained market share with two of our larger customers this allowing with the organic growth of our existing business should contribute significantly to revenues starting in the fourth quarter of this fiscal year. Secondly, as I have mentioned on previous calls and in conferences, the wheel hub category represents a $1.2 billion market in North America. It is a fast growing and evolving category for a number of significant reasons. First, the wheel hub assembly contains the antilock braking mechanisms. This technology has become more main-stream on vehicles during the last decade and these vehicles are reaching prime replacement stages. In addition, more recently, antilock braking technology being included in the rear wheel hub doubling the amount the potential failures which again should further enhance the category growth rate. This category has similar failure rate characteristics as rotating electrical. So as cars age, failure rates grow significantly. Industry research indicates that this category will grow at a 7% plus annual compound growth rate. We expect disproportionately better growth rates as non-OE brands like MPAs gain market share. Recently we picked up meaningful new business from additional customers, which we expect will lead further accelerate on wheel hubs growth. We expect to see the benefits of this in our fiscal fourth quarter. Last but not least, in addition as I have mentioned earlier, we have recently begun shipping brake master cylinders. We expect initial revenues on an annual run rate basis to be approximately $8 million to $10 million. In total, we expect our revenues for this fiscal year ending March 31, 2015 to show strong growth supported by the strength of business on all fronts. As I stated, we’ve been awarded significant new business in all of our product lines with varying days for shipments to begin. While we expect continue to strong revenues in this fiscal year, our run rate at year end should be even greater. Contributing to our success is the fact that our product fill rates remain very strong and customers recognize the value added benefits of our comprehensive customer service program. These factors supports customer sales growth and in-turn our success. Our company outlook has never been better. We expect net sales for the fiscal 2015 second quarter to continue to grow over the excellent results of last year’s competitive quarter. I'll reiterate, business is stronger than ever for us, we expect excellent organic growth as we ramp up our new businesses. David will now discuss our financials.
David Lee: Thank you, Selwyn. I am pleased to report that the fiscal 2015 first quarter results were record for our first quarter. As Selwyn briefly mentioned net sales for the fiscal first quarter was $63million, a $12.7 million or 25.3% increase compared with the prior year first quarter. Adjusted earnings per share for the first quarter was $0.30 which is up 36% over the prior year’s comparative quarter, after reflecting a 9% increase in fully diluted shares outstanding. And adjusted EBITDA was approximately $11.8 million, which is up 20% over the prior year comparative quarter. On a comparative basis, first quarter results benefitted from a full quarter of contributions from the company’s wheel hub product line which commence at the end of the prior fiscal year in last June. Additionally, first quarter results were impacted by various factors which I will discuss when I review the financial results. Let me now review the financial results for the first quarter. Net sales increased by $12.7 million or 25.3% to $63 million for the fiscal first quarter from net sales of $50.2 million for the prior period a year earlier. The increase in net sales was due to an increase in net sales of the rotating electrical business by $2.9 million or 5.8% during the three months ended June 30, 2014 compared with the same period of the prior year and sales of wheel hub assemblies and wheel hub bearings which were $10.2 million for the first quarter compared with 393,000 for the prior year first quarter. The gross profit percentage was 28.3% for the first quarter compared with 31.9% for the prior year, primarily due to a full June 2014 quarter of wheel hub sales compared with wheel hub sales in the prior year first quarter which we began to ship in late June 2013. Additionally, adjusted for $442,000 of customer allowances related to cost for new business which were reported as a reduction of net sales. 189,000 of startup cost for new product lines and 731,000 for non-cash lower of cost to market revaluation charge for cars on customer shows which are both increases in costs to good sold adjusted gross margin for the three months ended June 30, 2014 was 30.2%. Adjusted gross profit for the first quarter increased by $2.8 million or 17.1% to $19.2 million from $16.4 million a year ago, adjusted for various items as previously explained. General and administrative expenses increased $544,000 to $5.7 million after adjusting for non-cash mark-to-market net gains and losses, expenses related to discontinued subsidiaries, severance and FAS 123R non-cash stock compensation expense. The increase in general and administrative expenses includes business development cost for new product lines and incremental expenses related to our growth. Adjusted operating income for the fiscal 2015 first quarter increased by $2.1 million or 23.2% to $11.1 million from $9.1 million a year ago. These adjustments reflect discontinued subsidiaries expenses and other costs previously explained. EBITDA for the first quarter increased by $2 million or 20.4% to $11.8 million from $9.8 million a year ago, adjusted for various items as previously explained. Depreciation and amortization expense was $633,000 for the first quarter. For the trailing 12 months ended June 30, 2014 adjusted EBITDA hits $54.4 million. Interest expense was $3.4 million for the first quarter compared with $3.9 million for the prior year first quarter for a decrease of 512,000 primarily due to lower bank debt interest rates. Income tax expense was approximately 40.7% for the three months ended June 30, 2014. Net income for the first quarter increased by 45.6% to $4.7 million or $0.30 per diluted share from $3.2 million or $0.22 per diluted share a year ago adjusted for the items explained above. Earnings per share increase 36% over the comparative quarter last year. These results also reflects a 9% increase in the weighted average number of diluted shares outstanding. At June 30, 2014, we had a $90.8 million term loan, $10 million revolver and approximately $24.7 million cash resulting in net bank debt of approximately $76 million. There was availability of approximately $28.6 million on a $40 million revolver credit facility reflecting approximately $1.4 million of outstanding letters of credit. At June 30, 2014, the company had approximately $310 million in total assets, current assets were $110 million and current liabilities were $93 million. Cash flows provided by operations in the three months ended June 30, 2014 was approximately $2.6 million, which included approximately $215,000 in the income tax refunds. As of June 30, 2014 we had approximately $7 million of tax credits remaining. I’ll now walk you through the income statement exhibit in our press release distributed this morning which we believe will make it far easier to understand the various expenses and adjustments for the first quarter ended June 30, 2014. If you can take a moment to turn to the income statement exhibit in the press release starting with exhibit one, we can begin. So when you eliminate the effect of all expenses related to discontinued subsidiaries and other one-time and non-cash expense is highlighted in today’s earnings press release. For the three month ended June 30, 2014 adjusted net income was $4,719,000, adjusted diluted earnings per share was $0.30, adjusted gross margin percentage was 30.2% and adjusted EBITDA was $11.8 million. Exhibits two to four are the reconciliations tables to reconcile the reported results to the adjusted result including net income earnings per share, gross margins and EBITDA. We’ll now go over the adjusted net income calculations for the first quarter, so please turn to exhibit two. Starting with reported net income of $3,949,000 or $0.25 earnings per share for three months ended June 30, 2014 we adjust for customer allowances for cost of new business of $442,000. New product lines startup costs of $189,000, lower apostro revaluation for cores on customer shelves of $731,000, discontinued subsidiaries, legal severance and other costs are $560,000, noncash share based compensation expense of $498,000, mark-to-market non-cash gains related to warrants in four contracts of $1,347,000 and tax effect of the above of $303,000 which results in adjusted net income of $4,719,000 or $0.30 earnings per share. Exhibit three is a reconciliation of adjusted gross profit and gross margin percentage for the three months ended June 30, 2014. Starting with reported gross profit of $17,816,000 or 28.3% gross margin percentage, we adjusted for a customer allowances for cost of new business of $442,000, new product line start-up costs of $189,000 and lower apostro market revaluation for cores and customer shelf of $731,000 which results in adjusted gross profit of $19,178,000 or 30.2% gross margin percentage. Finally, we will go over exhibit four which is the adjusted EBITDA reconciliation. Starting with reported net income of $3,949,000 for the three months ended June 30, 2014, we adjusted for results from discontinued operations, add that interest expense, income tax expense, depreciation and amortization, customer allowance for costs of new business, new product lines startup cost, lower cost from revaluation for cores and customer shelves, discontinuous subsidiaries, legal, severance and other costs, non-cash share-based compensation expense and mark-to-market, non-cash gains related to warrants which results in adjusted EBITDA of $11,782,000. Adjusted further was standard inventory revaluation write downs of inventory in our facility due to lower cost of manufacture repurchasing of $1.1 million, adjusted EBITDA was $12.9 million for the first quarter. I will now turn the call back to Selwyn. 
Selwyn Joffe: Thank you David. As our fiscal year evolves, we’ll continue to focus on growing our business, and working with our customers to help grow their businesses through superior product quality and customer service. In addition to growing our existing business, we’ll continue to look for additional product line opportunities. We remain optimistic about our existing business and excited about new business that we’ve received in each of our product lines. We’ll now open the floor to questions.
Operator: (Operator Instructions) First question comes from Steve Dyer from Craig-Hallum. Please go ahead.
Steve Dyer - Craig-Hallum: If I could just take a little bit into that to the master cylinder business and to be clear is that a pure distribution agreement is there some remanufacturing involved in that?
Selwyn Joffe: With everything what we do we are going to look sort of the best opportunity whether it would build or purchase. At this point in time, it’s a distribution.
Steve Dyer - Craig-Hallum: Okay, so is there a potential opportunity down the road when this and wheel hubs maybe move into more re-man role, is it possible?
Selwyn Joffe : They are certainly in master cylinders. We don’t believe that wheel hubs are remanufactureable.
Steve Dyer - Craig-Hallum: Okay and so I think you guys would talk a little bit about the margin profile on master cylinders being kind of similar to rotating electrical on a EBITDA margin standpoint, what about gross margin I am assuming kind of slightly less?
Selwyn Joffe : Yes, but again we are not segment reporting so we will be not going to comment on gross margins. But I will say Steve that our guidance on gross margins will comfortable still so that’s sort of 27.5% to 30%, we’re comfortable will be in that range hopefully at the top end of that.
Steve Dyer - Craig-Hallum: You kind of consistently outperformed that. Is that not that you necessarily want assume quarter-in and quarter-out. But things should only really be getting better from here are now just given volumes and so forth. Is that right?
Selwyn Joffe : We hope so.
Steve Dyer - Craig-Hallum: Okay and then as it relates to a second wheel hub customer, have you begun shipping it and if not maybe some clarity on when that maybe and what that maybe worth on an annualized basis?
Selwyn Joffe : So we have a number of new customers, so we don’t want to just focus on a customer and sort of going forward we’re going to try go get away from sort of talking about each customer separately. But just in light of the previous sort of dialogue that we’ve had the new major business in wheel hub will kick-in in November, November-December. And so we expect to see the full effect of that really in the fourth quarter. We do have other customers that are ramping up and scheduled overtime has come in, so we’ve had fair amount of success bring into new customers in that business.
Steve Dyer - Craig-Hallum: Okay so as we look at revenues in the fiscal second quarter to September quarter really the only thing that’s additive year-over-year to last year would be the master cylinder getting going or is there similar.
Selwyn Joffe : That’s correct.
Steve Dyer - Craig-Hallum: Okay.
Selwyn Joffe : Yes, that is correct. We do have there some additional rotating electrical business that we’ve begun shipping as well. We have had some gains there that we already started to take on major gains in rotating electric begin in the fourth quarter. Major gains in wheel hub will begin in the fourth quarter and master cylinders we’ve just begun now. And we’re optimistic about the growth of that line as well.
Steve Dyer - Craig-Hallum: Great and then last question and I’ll hop back in the queue. Operating expenses, could you address those either maybe as a percentage of revenue or I guess directionally how we should think about that?
David Lee : Cylinder, the current quarter a dropped from the prior year fourth quarter, so if you look at historically the first quarter tends to start lower and as the year progress the operating expense line does increase. So we don’t see too much of a difference in the growth in fiscal ’15 compared to prior year’s, but it does increase sequentially in quarter as the fiscal year progresses.
Steve Dyer - Craig-Hallum: What sort of -- I mean if you take sort of a modest growth rate and you keep sort of the cadence amongst quarters the same, that’s a reasonable way to think about it?
Selwyn Joffe : That’s been the historical trend, yes.
Operator: Thank you and our next question will come from Jimmy Baker from B. Riley & Company. Please go head.
Jimmy Baker - B. Riley & Company: So just had a couple of follow-ups on the master cylinders, could you maybe just speak to the market for re-man master cylinders and I believe car owners have some success there, could you just help us maybe breakdown that 500 million total market size between new and re-man?
Selwyn Joffe: I think a substantial majority of that is in the re-man sector, but markets keep changing. So we’re optimistic we can compete whether it’d be new or re-man.
Jimmy Baker - B. Riley & Company: Okay. Could you just speak to maybe then breadth of your coverage that you’re able to offer and this would be helpful in both wheel hubs and master cylinders in comparison to very full coverage that you can offer in rotating electrical, are you immediately able to walk-in and supply essentially all makes, all models in wheel hubs and master cylinders or is there some kind of skew build out for you to accomplish?
Selwyn Joffe : Our intent as a company right now strategies to have full line offerings. So we can always enhance it and we continue to enhance coverage, but essentially we have full coverage.
Jimmy Baker - B. Riley & Company: Okay and then on the -- I was just hoping you could maybe quantify that you customers that you highlighted on the rotating electrical side. I mean are we talking 5 million or 50 million here on the annual basis. And then maybe you could just talk about the cash outlay that’s needed to acquire the core deposits as part of those share gains and how we should expect cash flow to progress?
Selwyn Joffe: I mean, the numbers north of $50 million in terms of new business that we will be bringing in. We, all of the incremental business as positive cash flow, in terms of just, I think until we enter into and finalize, we will publish the contract as we get there, a little closer so I rather, I come on the dollar amount, but I’ll tell you it’s all accretive and all positive cash.
Jimmy Baker - B. Riley & Company: So to clarify you’re expecting more than $50 million of incremental rotating electrical revenue in, let’s call it calendar year 15, am I hearing that correctly?
Selwyn Joffe: No, I’m referring to all products then it will, the rotating electrical is large. There’s a number of larger piece as well, a large piece as well in wheel hubs. So all in all we’re in north of $50 million of a new business, going north of it.
Jimmy Baker - B. Riley & Company: Okay. And then last one from me I’ll get back in the queue, can you just speak to maybe how many additional product lines your customers have already expressed interest in and maybe give us a little bit more color on the genesis of this conversations and why your customers are coming to you looking for supply in categories where you don’t even currently participate?
Selwyn Joffe: Well, I mean I think it’s two-fold, it’s not only a one-way direction I mean we are also very aggressive right now looking at new categories and we have a dedicated product development teams so we’ve gone to our customer base, to test ideas with them. I think the customers cooperation with us is based on really -- I believe prior performance. I think that there’s a trust factors in our relationships with our customers. We are very customer-centric as an organization. And we don’t just say customers come first, we make them come first. We really believe that the success with our customer is out of test. So we learn by that and I think at the end of the day, there’s no one reason. I think it’s just a lot of little things there’s no really one significant things that we did for anybody else.
Operator: Thank you. And our next question will come from [indiscernible]. Please go ahead.
Unidentified Analyst: Just wanted to start on a rotating electrical, how much additional room do you think there is for margin expansion there to kind of drive the blended gross margins beyond 30%. And what timeframe do you think that can have in. And then also if you could just touch on the pricing environment there with customers, I know you said in the past that it’d be healthy for a little bit of pricing inflation there. Do you see any room for this during fiscal 15?
Selwyn Joffe: Yes. Well, I’ll tell you it’s extraordinarily competitive. Pricing is tough we have been fortunate in that. We, our pricing has, I mean well been under pressure we still been able to maintain our margins. Productivity and efficiencies have continues to increase, offsetting the pricing pressures for the most part. But there is no, we don’t believe there’s margin expansion in this next 12 months. And I do believe that for the sake of everybody in the industry that some inflation is critical I think that critical for -- quite frankly it starts with consumer at the end of the day what are they going to pay that consumers are getting a great deal in product right now in the industry. I think that the customer base, as it continues to grow up needs some price inflation to comp up. And certainly, I think the manufacturing base has been under enormous pressure for a number of years as we see the customer base consolidate. So while, everything is very competitive and price pressures are significant now. I don’t believe that there will be margin of accretion in the next 12 months, but I do believe that overtime there needs to be margin accretion for the safety of our industries. So I mean that’s a long way to answer to your question but we’re comfortable with margins we are at, despite margin pressure. And we’re comfortable with capacity to expand and we are comfortable that once we digest the expansion we’re going through that this production efficiencies as always. We always are looking production efficiencies. So overtime we’re still optimistic our margins will remain positive.
Unidentified Analyst: Okay. That’s really helpful. A lot of my questions have already been answered, but I’ll end with this one here. Once you’ve ramped in the master cylinders segment there, what kind of market share do you think it will be reasonable to expect to get rid of that 500 million master cylinder market that you mentioned?
Selwyn Joffe: It is so hard to tell. We have very good competitors, I mean again in all the spaces that we’re in, we have formidable competitors. And so it’s hard to tell, we’re optimistic that we’ll grow it. I mean we have been successful growing our product lines, double-digit on a consistent basis for a number of years. And I’m not, I don’t see any reason why, because we continue to growth this one on a double-digit plus sort of rate.
Operator: Thank you. And our next question will come from [indiscernible] and company, please go ahead. 
Unidentified Analyst: Going back to the question on the new products, how deep is that bench of new product development, would you say that your vision of the company say three-five years out to have a portfolio of half a dozen or so of these product lines.
Selwyn Joffe : Yes I think there’s lots of opportunity in new products, there’s new products coming into the market, there’s mature markets that present opportunity for efficient suppliers so we’re confident we can continue to stream new products into our channels, from a foreseeable near future.
Unidentified Analyst: Thanks for the color.
Selwyn Joffe : Thank you.
Operator: Thank you, and our next question will come from Jimmy Baker from B. Riley and Company, please go ahead.
Jimmy Baker - B. Riley & Company: Hey thanks for the follow ups, just wanted to get a sense from you of the breakdown on your wheel hub and master cylinder sales between DIY and DIFM, you know understanding that today they’re primarily through the national retail account but do you have visibility to sell through breakdown between the DIYers or the professional installers. 
Selwyn Joffe : I can’t give you percentages but I will tell you, I mean again you’d be right on the money as it’s hard to tell, retail is also DIFM, players nouns it’s hard to tell how much of your products really getting into that market place and then all of our retail customers have reported growth in the commercial sector. I think the acquisition of advanced, of conquest by advanced even further below that number. So it’s hard to tell but in terms of the buying groups which I view as distinctly separate from retail, and distinctly separate from the DIY we aren’t growing there, I mean we’re not experiencing the same speed of growth in those categories as we’d like to quite frankly but it’s perpetual. We’re picking our businesses to grow there, is a little bit slower because you’ve got to pick up smaller customer, I think the majority of the new business because of just the nature of the customer’s comes from the resell environment from us. But having said that I would tell you that the number of mains that we had into our portfolio of a professional solid distributors, traditional distributors grows every day. So you know it’s slow and stable but you know very productive new growth in all our categories. We’re hopeful that the wheel hub business can pick up from traction there and certainly we feel master cylinders can pick up some traction there. And as we have a broader array of products and more efficiencies in that system that will become more and more competitive in that arena. 
Jimmy Baker - B. Riley & Company: Okay great and then on the, just a follow-up on the new product, new products yet to be announced I suppose, do you think it’s reasonable to expect this cadence of kind of one new product line per year to continue over the next few years or anything that would meaningfully delay or accelerate that. 
Selwyn Joffe : You know it’s hard to tell I mean, what I’ll tell you now is speculative that I think at least one product line of yours should be reasonable but that’s speculative because until we know and we passed you know sort of the thesis with these customers we don’t really know what’s going to be launched or not, we had a lot of great ideas but the concept for us is that we don’t launch unless we have customer traction and so every item that we’ll launch certainly we’d like to make sure we have a commitment before we launch it. And so having said that you never know whether you’re going to get a commitment or not. But we’re optimistic, I mean we have a great team of people working on this, we think the market opportunities are voluminous, we have plenty of liquidity to manage it and we have as the team of people that people that we think of as some of the finest in the industry, if not the finest. And a work ethic and passion for our business that exists internally in that I would challenge any company period to match the passion our employee base has for our business. So at the end of the day, when you put all of those things together with the market opportunity of a 100, I don’t think there’s a reason why we shouldn’t continue to grow.
Jimmy Baker - B. Riley & Company: Understood and then lastly you just given the wide disparity of the margins by product line and the fact that you won’t be segment reporting, there may be a point at which you’d be comfortable offering some formal guidance in terms of either EBITDA or EPS to kind of help us better understand the cadence of new customers coming into the mix, new product lines ramping and kind of the impact of all those moving parts.
Selwyn Joffe : I would love to be able to do that, I mean I think it’s a little speculative for us now. But I will tell you that even though the margins may wary we really are less focused on the margin and not just say that it was not important of course, it’s very important but we’re very focused on our return on investment capital. And so you know the master cylinders, where we’ll seek 50% cash on cash returns, and our product lines that we try and launch certainly we’ve been very focused on the cash returns on the investments in those businesses. And so while it’s tough to predict because of all different product lines have different margins and different competitive factors in all these different markets but at the end of the day we’re not going to invest in businesses unless there’s some very compelling strategic reason that don’t exceed significant double-digit cash and cash returns.
Operator: Thank you. (Operator Instructions) And I am not showing any further questions, I would like to turn the call back over to management for any closing remarks.
Selwyn Joffe : I want to thank you everybody for their support and their interest in our company and we look forward to future reports. Thank you very much.